Operator: Welcome to the AZEK Company's First Quarter 2023 Earnings Call. [Operator Instructions]. Please be advised that today's conference is being recorded.  I'd now like to hand over the conference to Eric Robinson. Please go ahead, Eric.
Eric Robinson: Thank you, and good afternoon, everyone. We issued our earnings press release and the supplemental earnings presentation this afternoon to the Investor Relations portion of our website at investors.azekco.com. The earnings press release was also furnished by an 8-K on the SEC's website. I'm joined today by Jesse Singh, our Chief Executive Officer; and Peter Clifford, our Chief Financial Officer.  I would like to remind everyone that during this call, we may make certain statements that constitute forward-looking statements within the meaning of the federal securities laws, including remarks about future expectations, beliefs, estimates, forecasts, plans and prospects. Such statements are subject to a variety of risks and uncertainties as described in our periodic reports filed with the Securities and Exchange Commission that could cause actual results to differ materially.  We do not undertake any duty to update such forward-looking statements. Additionally, during today's call, we will discuss non-GAAP financial measures, which we believe can be useful in evaluating our performance. These non-GAAP measures should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations of such non-GAAP measures can be found in our earnings press release, which is posted on our website.  Now let me turn the call over to AZEK's CEO, Jesse Singh.
Jesse Singh: Good afternoon, and thank you for joining us. The AZEK team delivered financial results modestly ahead of our guidance for the fiscal first quarter of 2023, driven by favorable sales combined with strong operational execution. As previously discussed, our results were impacted by the residential segment's channel inventory correction primarily within our Deck, Rail & Accessories business.  During the quarter, we saw steady Pro and Retail sell-through demand, and we achieved normalized levels of inventory in the channel which are at or below historical average days on hand based on expected demand for 2023. As a reminder, our sell-through demand is typically the best indicator we have of actual end-use consumption of our products. Our teams have done a great job in an unusual environment, and we have had strong execution within the quarter from our operations and sales and marketing teams, enabling us to effectively navigate through the channel inventory correction.  We are on track with our plans for 2023 and believe that our focus on the customer, while aggressively getting short-term inventory adjustments behind us, will put us in a strong position for the balance of 2023 and into next year. In the first quarter of 2023, we generated $216.3 million of net sales and $15.1 million of adjusted EBITDA and we increased our cash from operating activities by approximately $37 million year-over-year to $6.4 million in the fiscal first quarter.  As we progress through this year and into fiscal 2024, we see opportunities to increase our cash conversion through a reduction of working capital and a moderation of capital expenditures from a heavy investment period over the last couple of years. As a company, we continually monitor several internal and external data points to understand the health of the industry and our business, in particular. The key digital metrics remain steady and continue to show interest in the category consistent with secular trends around outdoor living and wood material conversion. At a company level, AZEK continues to perform well with web traffic growth positive year-over-year and more importantly, sample orders were up significantly over the same period last year.  During the quarter, we once again conducted a survey evaluating the sentiment of our thousands of dealers and contractors to understand downstream demand. Dealers expressed cautious optimism that they could sustain growth in 2023.  Our contractors also reported similar views with backlogs at approximately 8.5 weeks, roughly the same as last quarter and consistent with the same period in the year prior. Overall, our Pro survey results are largely similar to slightly positive on their outlook for 2023 versus the October results with the most common concern being the uncertain macroeconomic environment.  These data points are consistent with what we experienced in the first quarter with residential sell-through volumes coming in positive on a dollar basis and marginally better than our full year volume planning assumptions. While this is an encouraging trend to kick off the fiscal year, we are still several months away from the start of the primary outdoor living building season and recognize the continued economic and geopolitical uncertainty. These results and our execution against our strategic initiatives gives us increased confidence in the year, and we are reaffirming our 2023 planning assumptions.  Turning to an update on our initiatives. We made significant progress in the quarter and continued to execute against our strategic growth initiatives, picking up incremental shelf space across both Pro and Retail channels. These wins will phase in over the next few quarters, positioning us well heading into the spring selling season this year and into 2024. From a branding perspective, we completed a refresh of TimberTech, AZEK Exteriors and StruXure, connecting these brands together under consistent messaging to better serve our customers.  Our upgraded branding and product positioning highlights our market-leading portfolio, which includes our TimberTech composite decking and our proprietary TimberTech Advanced PVC decking with unique performance characteristics. We are excited by the brand refresh and look forward to continuing to build our strong outdoor living and exterior brands together in the future.  Equally exciting after previewing the 2023 new products late last fall at customer events during the TimberTech Championship, we are seeing strong customer receptivity to the new colors in our TimberTech decking portfolio as well as our new TimberTech furniture invite collection. We also simplified and upgraded our railing portfolio and have announced 2 new high-performance PVC options, Statement Rail and Pinnacle Rail, adding a high-end PVC railing option to our already strong portfolio of aluminum and composite offerings.  Our recent acquisition of INTEX, combined with our acquisition of StruXure last year, puts us in a terrific position to continue to drive core and adjacent growth in outdoor living. In Exterior, where we have seen particular resiliency to date, we continue to receive strong positive feedback from our Captivate prefinished trim and siding launch and are adding additional resources to increase capacity and take on incremental demand.  Each of these new products in decking, railing and exteriors highlights how brands under the AZEK company can expand our total addressable market size further advanced material conversion and inspire homeowners to create beautiful low maintenance and sustainable outdoor living spaces. During the quarter, we also continued our progress on increasing the use of recycling in our products. An example of this is the ongoing increase of PVC recycling in our advanced PVC decking product, where we are now running more than 60% recycled in the core of our board.  In addition, we announced 2 new partnerships 1 with online clothing resellers, thredUP, in which we will collect thredUP polyethylene plastic mailer bags as well as their post-industrial plastic film waste and transport them to AZEK vertically integrated polyethylene recycling facility. The materials will then be processed and incorporate it into new TimberTech decking. Our Return Polymers business unit also announced the partnership with Trusscore to leverage our full-circle recycling program.  As part of the partnership, we will collect, grind and recycle Trusscore PVC material helping to ensure that as much waste and scrap as possible is recycled and used to make new PVC products. Each of these partnerships highlight the unique ways in which we are executing against our goal of diverting 1 billion pounds of waste and scrap materials annually as we seek to create a more sustainable and circular future. We are also proud to announce a number of awards in the quarter, and the Real Leaders 2023 Impact Awards, AZEK ranked #40 out of 300 public and private companies and ranked #4 in the home and lifestyle category.  This award recognizes a diverse group of companies from around the world that prove that businesses can both thrive and help build a better world. Additionally, AZEK has been shortlisted on the inaugural World 50 I&D Impact Awards for the progress, transparency and communication of our DE&I initiatives with winners to be announced in March of 2023. Finally, JUST Capital ranked AZEK in the top 25% of the largest publicly traded companies addressing the issues Americans care most about, from wages to workforce retention to impact issues such as ethical leadership and carbon reduction and pollution control among others.  I would like to thank the entire AZEK team for their contributions to these awards, a testament to the company-wide commitment to our purpose of revolutionizing outdoor living to create a more sustainable future. AZEK has a broad portfolio. And as we discussed last quarter, it is overwhelmingly driven by repair and remodel spend.  We estimate that within our residential segment, repair and remodel represents approximately 85% of net sales and that new home construction comprises approximately 15% of net sales. Recall that our planning assumption that we shared on the last call for the year assumes a 10% decline in residential sell-through volume in fiscal 2023. While our sell-through volume trends to date have been modestly better, we are not changing our assumptions or our view of fiscal year 2023. It is early in the season, and we continue to operate in an uncertain environment.  Under the planning assumptions, we would expect to deliver $250 million to $265 million of adjusted EBITDA in fiscal year 2023. As a reminder, we exited fiscal 2022 well positioned to deliver against our margin expansion plan, including positive price carryover, recycled benefit, improving productivity and a moderating raw material environment.  Given our lower production levels in the first half of 2023 and the balance sheet lag, we would expect to see the benefit of our margin and sourcing program in the second half of the year as we work through higher cost inventory and underutilization. Exiting fiscal Q1, we are now at normalized inventory levels with our channel partners, where we are at or below historical average days on hand. In the quarter, we were once again able to secure additional shelf space and product placement as an outcome of our winter negotiations.  Our focus on having the combination of the best products, the best sales team and a broad portfolio, combined with increased capacity puts us in a great position to continue to gain incremental shelf space in both the Pro and Retail channels. Our fiscal second quarter is traditionally a channel replenishment period for our industry ahead of the building season. We have improved our lead times. And given the current environment, we are working closely with our channel partners in a disciplined manner to maintain lower inventory levels coming into the season.  We expect channel inventory replenishment to be meaningfully lower than Q2 2022, which we believe is prudent and better positions us for the second half of the year. If demand during the season comes in stronger, we are confident that our capacity, finished goods inventory, flexibility of our plants and the overall health of the supply chain will enable us to service customer demand without an increase in lead times.  As we communicated on the last call, we expect the majority of our revenue contraction will occur in the first half of the fiscal year with the combination of Q1 inventory destocking in our channels and more modest preseason build in Q2 compared to the prior year. As we move into the back half of fiscal 2023, we expect to have lower levels of inventory in the channel, and we'll also be lapping the prior year's channel destocking in Q4. Our assumptions for the second half of the fiscal year also include the benefits from continued price realization, sourcing benefits that we are already experiencing, completed productivity gains and our current recycled rates.  Starting this quarter, we are also planning on lowering our internal balance sheet inventory levels as volumes seasonally adjust higher and we sustained production levels lower than demand levels. The second half tailwinds I just highlighted, combined with company-specific strengths around new product innovation, portfolio breadth and category leadership with best-in-class aesthetics gives us increased confidence in our ability to navigate the next few quarters, achieve the adjusted EBITDA range outlined with our planning assumptions and expand our margins in the back half of the year.  I will now turn the call over to Pete to provide some additional context on our financial results and outlook.
Peter Clifford: Thanks, Jesse, and good afternoon, everyone. As Eric highlighted upfront, we have uploaded a supplemental earnings presentation on the Investor Relations portion of our website. Before we get into the first quarter results, I wanted to provide some color on the operating environment during the quarter. The demand environment has remained stable and consistent with the fourth quarter. Sell-through profile was positive on a dollar basis and down mid-single digits on a unit volume basis.  This consistent demand environment allowed us to complete our targeted inventory reductions in the channel during 1Q '23. Inventory days on hand are at or below pre-pandemic levels across the portfolio. From an operating perspective, the focal points for 1Q '23 are around managing our conversion costs down to match the reduction in production levels without impacting service levels to our customers.  Production levels in the quarter were down over 40% plus across most of our facilities year-over-year. On the commodities front, we saw the bulk of our purchase portfolio stabilized during the quarter at cost profiles to support our deflation assumptions. With the deflation we've seen, we continue to add to our carryover deflation benefit for fiscal 2024 based upon our current raw materials balance sheet lag.  Note, we do expect to gradually compress our current balance sheet lag of 5 months back closer to 4 months by year-end. For the first quarter of 2023, we saw net sales of $216 million, which was modestly above our guidance. Net sales declined 17% year-over-year, driven by the previously communicated channel inventory reduction. The sales bridge elements for the first quarter included a volume decline of approximately $85 million partially offset by positive contributions from carryover pricing in the high single-digit range and $21 million from carryover M&A. 1Q '23 gross profit decreased by $41 million or 46% year-over-year to $47.6 million. 1Q '23 adjusted gross profit decreased by $35 million or 33% year-over-year to $71.9 million.  The adjusted gross profit decline was in line with the decline in net sales and higher decremental margins from lower production levels. Note, there is approximately a 2-month lag on our labor and overhead, which will push some of the lower production level cost pressure into fiscal 2Q '23.  Selling, general and administrative expenses increased by $10.3 million to $73.4 million. The bulk of the year-over-year increase was driven by SG&A contribution from recent M&A and transaction-related expenses. Adjusted EBITDA for the quarter was $15.1 million, modestly above our guidance and compares to $58.5 million in the prior year comparable period. The primary driver of the year-over-year change in adjusted EBITDA was the significant volume reduction caused by our channel destocking efforts, which caused large declines in both production and net sales levels.  Net income for the quarter was a loss of $25.8 million or negative $0.17 per share, driven by the previously mentioned volume reductions given the channel inventory reduction. Adjusted net income for the quarter was a loss of $13.9 million or adjusted diluted EPS of negative $0.09 per share.  Now turning to our segment results. Residential segment net sales for the quarter were $179 million, down 18.8% year-over-year, driven by the previously mentioned channel inventory calibration impact, which was largely in our Deck, Rail & Accessories business. The Exteriors business saw positive growth year-over-year and recent acquisitions contributed $21 million in the first quarter.  Residential segment adjusted EBITDA for the quarter came in at $26 million, which was down approximately 60% year-over-year. Commercial segment net sales for the quarter were $36.8 million, down 4.7% year-over-year. We saw similar performance in both our Vycom and Scranton Products businesses as end markets, including marine, graphics and semiconductor, saw channel destocking in the December quarter, and we expect that to continue in the near term. Commercial segment adjusted EBITDA for the quarter came in at $5.2 million, an increase of $400,000 year-over-year.  Segment adjusted EBITDA margin expansion of 170 basis points year-over-year was driven by favorable price commodity performance. From a balance sheet and cash flow perspective, we ended the quarter with cash and cash equivalents of $86.9 million and approximately $147.2 million available for future borrowings under our revolving credit facility.  Working capital, defined as inventory plus AR minus AP, was $340.6 million. We ended the quarter with gross debt of $677.7 million, which included approximately $79.2 million of finance leases. Net debt was $590.8 million and our net leverage ratio stood at 2.3x at the end of the first quarter.  Net cash from operating activities was $6.4 million during the quarter versus negative net cash from operating activities of $30.6 million in the prior year period. Capital expenditures for the quarter were approximately $30 million, down $35 million versus the prior year period. During the quarter, we repurchased 353,000 shares of our common stock for approximately $7.5 million or an average purchase price of $21.23. The remaining authorization under our share repurchase program is approximately $311 million.  As we have communicated, we are mindful of our long-term net leverage ratio remaining in the 2 to 2.5 range. And as a result, we will likely push our repurchase activity to later this fiscal year.  As we turn to the outlook, let me provide some context and color around what we are seeing and assuming for the balance of the fiscal year. We are now 1 quarter into the fiscal year. And while the selling season is still a few months away, we are reaffirming our 2023 planning assumptions outlined last quarter. As a reminder, our planning assumptions from our last call were: Sales unit volume down approximately 10%; carryover pricing for the year in the 3% to 5% range with M&A adding approximately 2 points of growth. It is important to note that the bulk of our net volume reduction for the year is in the first half of 2023. We are expecting a 3Q volume decline, which will be offset with positive volume growth in 4Q '23 as we lapped the prior year channel destock.  SG&A increasing approximately 2% to 3% year-over-year, with the net increase primarily driven by the SG&A contribution from recent M&A and normalization of incentive compensation. Strong free cash flow generation, driven by a return to more traditional CapEx levels of $70 million to $80 million as well as progress against our targeted working capital reductions in inventory. Under these planning assumptions, we expect adjusted EBITDA in the $250 million to $265 million range for the full year fiscal 2023.  From a segment expectations perspective, we believe our residential business performance and modestly better deflation will offset any softness in our commercial business which has seen some channel inventory correction.  Before we turn to our guide for the second quarter, I wanted to provide context for the operating environment we expect in fiscal 2Q '23. Channel inventories are at normalized levels to start 2Q '23. As a reminder, 2Q is historically a channel replenishment quarter for our industry ahead of the traditional building season. In fiscal 2023, with lower lead times, available capacity, coupled with our own finished goods inventory levels and a sell-through demand assumption of volumes down 10% for the year, we are intentionally working with our partners to manage the amount of inventory entering the channel ahead of the season in a very disciplined and measured way.  If demand is stronger, we are confident that our capacity position, the flexibility of our plants and the overall health of the supply chain will enable us to serve customer demand without an increase in lead times. Additional context on our 2Q '23 guidance includes sales volume is expected to decline in the approximate $55 million to $70 million range, partially offset by positive contribution from carryover pricing in the high single-digit range.  Production levels will start to normalize in the back half of 2Q '23. We expect production levels will be down approximately 30% year-over-year versus the 40% plus decline seen in 1Q '23. By the end of the first half of 2023, the bulk of the underutilization will fully flow through for labor and overhead. AZEK inventory levels on our balance sheet will start to decline, consistent with our previous commentary. For 2Q '23, we expect consolidated net sales between $340 million to $365 million. We expect adjusted EBITDA between $57 million to $63 million.  In closing, it is important to highlight some of the key elements in our implied outlook for the balance of fiscal 2023 between 2Q and 4Q, which include: number one, the residential channel inventory normalization has been completed; two, material input costs have settled at price points that support our 2023 deflation assumptions. It will now carry over modestly more deflation into 2024. We expect to start seeing the benefit of lower raw material prices in 3Q '23; three, we expect production levels to normalize in the second half, positively impacting utilization and setting the stage for plant productivity; fourth, we anticipate sales volumes will recover significantly from the 1Q '23, seasonally low and channel destocking impacted profile; five, we expect the whole price in our core markets; and lastly, six, with channel inventory reductions complete, we will start reducing inventory on our balance sheet and expect to finish the fiscal year with approximately $40 million lower inventory year-over-year. As a result of this reduction, we will see compression at our balance sheet lag on inventory, enabling raw material deflation to flow more quickly from the balance sheet to the income statement in fiscal 2024.  With that, I'll now turn back to Jesse for some closing remarks.
Jesse Singh: Thanks, Pete. I would like to take a moment to again recognize and thank our dedicated team members, channel and supplier partners and contractors that support the AZEK company. Thank you for your continued focus and dedication and your contribution to the results in the first quarter. Our execution in Q1, including our shelf space games, combined with the continued progress we expect to make in Q2 increases our confidence in our ability to deliver above-market growth and margins in an uncertain environment. We are well positioned to realize the benefits of our recycling and sourcing initiatives late in Q2 and through the balance of the year. The fundamentals of our business are strong as is our confidence in our future.  With the residential channel inventory normalization behind us, we are focused on our strategic growth and margin expansion initiatives that will enable us to deliver against the planning assumptions we laid out for 2023. We have a clear strategy in AZEK-specific initiatives to drive above-market growth and we believe that we are well positioned to win and deliver on our long-term goals. With that, operator, please open the line for questions.
Operator: [Operator Instructions]. Our first question comes from Keith Hughes with Truist Securities.
Keith Hughes: Question on inventory. You talked a lot about the channel being in line and I think towards the end of the prepared remarks, you talked about another $40 million, I guess, coming off your inventory. I heard that right. Can you just talk about how your internal inventory should shape the next couple of quarters with the kind of demand view that you've laid out?
Peter Clifford: Yes, Keith, this is Peter. Roughly speaking, we expect to take about $30 million of inventory out of our system here in the second quarter. Obviously, we built $20 million in the first quarter, so it would be down net $10 million. which means over the third and fourth quarter, we'd be taking on an additional $30 million in inventory. And that's the cadence we're talking to.
Keith Hughes: And one other inventory question on Exteriors. Exteriors was, I think, the way you said it was up in the quarter in terms of sales. How do you feel like your Exteriors inventory is and where the -- where distribution is out there?
Jesse Singh: Yes. Our Exteriors business has been steady. And so as you consider the progression over the last really a few quarters and over the last few years, we have had appropriate supply to be able to meet external demand. As such, it's been very consistent. And within normal ranges really over the last few quarters, and we continue to see that.
Operator: Our next question comes from Matthew Bouley with Barclays.
Matthew Bouley: Question on the volume outlook. I know you said the bulk of the unit volume declines are in the first half, and I think you said that the expectation is that volumes should eventually turn positive in your fiscal fourth quarter. I'm just curious if you can expand a little on the confidence in that. What are the assumptions behind that? I guess for volumes to be positive by then, does that assume sell-through also needs to be positive? Or are you kind of taking a view on the progression of channel inventory through the year? Just any color on that kind of second half volume outlook?
Jesse Singh: Sure. Thanks, Matt. At a high level, if you consider what we've said on our planning assumptions, which is that we expect sell-through volume to be down 10% for the year. Now that's sell-through. That is not what we're talking about specifically relative to our sell-in. Obviously, the revenue we book is what we sell into distribution. And the way to think of it is we have, in the first half of the year, brought in Q1, brought our distribution and channel inventory down significantly and then as we commented on Q2, we are not inflating the inventory as much as either last year or against a little on the low side compared to historical norms. That, combined with the fact that we are not -- that we are lapping on inventory drawdown in Q4, if you do the math, the sell-through assumptions of minus 10% lead to revenue stability in the back half of the year.
Matthew Bouley: Second one, just the growth initiatives, you spoke about progress with shelf space of Pro and Retail. I'm just curious if you can get into how meaningful are those wins and kind of how those play into the volume guide.
Jesse Singh: Yes. No, I appreciate the question. As we've talked about, our -- we operate with a portfolio of initiatives. And what we've said is the intent of our initiatives is to drive, call it, 2 to 3 points of growth on an annualized basis. Now that's new products, that's adjacencies. That's what we're doing, downstream relative to increasing the number of contractors and consumers. And it also includes the benefit of increasing shelf space which potentially gives us access and more ability to get after certain geographies and customer bases. So the way to think of our initiatives is we are on track with what we've described in total against that 2% to 3%.
Operator: Our next question comes from Tim Wojs with Baird.
Timothy Wojs: That's a new one. So if -- I guess just thinking about kind of the preseason kind of selling period being kind of below normal. Is that kind of what you're hearing from your distributors? [indiscernible] Is that more intentional on your part? I can't tell.
Jesse Singh: As we consider the dialogue with our channel partners, both distributors and dealers, it's a bit of a push/pull. And I would say it varies by channel partner. So with certain channel partners in particular, some of our dealers, there's an intent to be more cash efficient coming into the season. And then our dialogue with our distribution base is and will continue to be what's the right inventory level to have in stock to be able to service your customers and our joint customers and to make sure that we have incredibly high service levels and also making sure that we are a bit more cautious than -- so we don't get into the same situation that we may have had in previous quarters. And so I would say it's a dialogue. I think if anything, we, as a manufacturer, are probably being a little bit more conservative than some of our channel partners as we make sure that we're trying to put the right inventory in -- at the right time.  I'll just reiterate what we see from an aggregate standpoint from the marketplace is stable and pretty normalized. And we are lapping an elevated time period of inventory build, and we want to make sure that we're appropriate. So that we really set ourselves up for a strong performance in the back half of the year.
Timothy Wojs: Okay. Okay. That's good. And then just on the raw material kind of deflation timing, would you expect that to be positive for the full quarter in Q2? Or is that more you'll turn positive as you kind of exit the quarter in Q2?
Peter Clifford: Yes. It will be the latter. As we communicated on the last call with the business slowing a bit, our lags elongated a bit to closer to 5 months. And so we're highly confident we can see the deflation that we're putting onto the balance sheet here through the first 4 months of the year. And we expect to meet or exceed the $30 million of second half '23 deflation that we articulated on the last call. And candidly, we can already see some upside to carry over on 2024.
Timothy Wojs: And I think that number was $50 million annualized before. Any sense of what it is now?
Peter Clifford: I'd just say it's favorable to the $50 million, and the bulk of its carrying forward to 2024.
Operator: Our next question comes from Phil Ng with Jefferies.
Philip Ng: Jesse, you guys gave us a lot of different numbers here to kind of unpack how demand is kind of progressing. I think your guide is calling for a 10% sale decline in sell-through, but your channel partners, I think, are calling, say, mid-single digit declines and the survey implies the dealers are expecting maybe positive growth. Can you kind of help us unpack that? Does that kind of imply at least your base case assumptions, at least currently feel relatively conservative?
Jesse Singh: Yes. First off, I'll just stress, we are very early in the season. We're sitting here in February trying to assess where we will be as we exit September. And I think what we're just trying to do is be prudent as we look at the market assumptions that we highlighted, which is really related to down high teens in new construction and down mid- to high single digits in R&R, we are -- that rolls into our down 10% assumption. We think it's prudent to hold to that.  Having said that, your -- what we're seeing as we work our way through the first 3 to 4 months is our channel partners modestly more optimistic than that, from where we sit at this point. And through 3 months, our -- through some lower seasons, our sell-through is more positive than that. So we just think it's really prudent to let the season play out and operate under the macro assumptions. So hopefully, that gives you a little bit of perspective on how we're seeing things.
Philip Ng: That's helpful color. I guess, perhaps a question for Jesse. Your 2Q guide implies decrementals in the 70% range. I mean, obviously, you're still curtailing production pretty heavily. By 3Q, should we assume decrementals are more normalized and you're largely done curtailing inventory at your end? And when we look at EBITDA on a year-over-year basis, will it be up year-over-year? Or is it really more of a 4Q event where we see that year-over-year inflection?
Peter Clifford: Yes, Phil, this is Peter. So if you think about the cadence of the year from a production perspective, so obviously, we were down close to 47% actually in the first quarter on the core kind of production volume, it gets closer to down 30% in the second quarter, and really, we're still down modestly in the third quarter, but we're up in the fourth. So it's kind of a consistent story of our sales volume is kind of flat in the back half of the year.  So as our production volume. So really, what's different when you think about the back half of the year margins is a couple of things. So one, first and foremost, the channel destocking is completely behind us, which was obviously causing a lot of churn on the manufacturing facilities and really a key driver of probably about $10 million a quarter of underutilized manufacturing costs in both the first and second quarter that don't reoccur in the back half of the year.  And then as we articulated on the call last quarter, the change in accounting was almost entirely a first half of the year nuance and mostly a first quarter, so that is still on pace to be or was about $6 million in the first quarter, likely wrap up the remainder of that, which will be about $2 million or $3 million in the second quarter.  So you've got about $28 million of cost that's sort of not recurring in the back half of the year. And then as we just stated on some of the commentary in previous questions, we're really confident in the $30 million of deflation that we committed to and hit in the second half of the year.
Philip Ng: So it's...
Jesse Singh: Sorry, Phil, if I could just add. We have an intentionality to -- as we talked about on the last call, that within the first half of the year to make sure that we are at an appropriate and appropriately conservative inventory position in the channel, which we feel we are very much on track to do. And also that we start to make progress against bringing our own inventory level down. And there was an intentionality of having, for lack of a better word, the underutilization associated with that, be more, and hopefully, primarily concentrated in the first half of the year.  And so as you -- you'll see improvement in the decrementals in Q2, partially because of volume, partially because some of what Pete just described is a little less, and then as the intent is to get that behind us and then be able to focus moving forward on real demand and appropriate utilization and then obviously getting the benefit of what Pete just highlighted.
Philip Ng: Got you. That's helpful. I mean, Pete, I don't want to put words in your mouth, but I mean, you're talking about $30 million of deflation, $20 million cost that kind of goes away, and that's nonrecurring. It does feel like 3Q EBITDA could be up year-over-year or at least flat. Are we thinking about it correctly?
Peter Clifford: Yes. I mean I think the way you could think about it is everybody is doing their math and can kind of back into the back half of the year quality of earnings. For the average of that, I think the third quarter will be modestly below that average, but above the prior year. And then certainly in the fourth quarter, we're going to be above that average and obviously well above the prior year.
Operator: Our next question comes from Michael Rehaut with JPMorgan.
Michael Rehaut: Great. First, I just wanted to clarify, Jesse and Pete. I mean you talked about your planning assumptions for the year and having -- at one point, if you look on the slide, it kind of says net sales assumes down 10% unit volume. But you've also kind of referred to that as your outlook for the market itself and really sell-through. So are we talking about the same thing here in terms of what you're expecting AZEK sales volumes to be that, in effect, they're in line with the market sell-through outlook? Or are there any other nuance differences here? And part of what I'm getting at is also the propensity for any potential share gains in the market given some of the new products that you've described earlier.
Jesse Singh: Yes. The way -- I'll start with -- we're operating in an uncertain environment, and it's really important that we acknowledge the assumptions. And our assumption is, as you pointed out, that the market will be down 10% and that our sell-through will be down 10%. The way to think of the initiatives that we described and some of the good things that we were doing relative to volume on the organic side, is that those are elements that give us increased confidence that we can manage through any volatility against that 10%, so another way of saying that is if the market stays steady, and we have perfect internal execution. From an organic standpoint, in theory, we could be better than that 10%. But there is a lot -- we're in the first quarter. There's -- and we happen to be in the time of an upcoming Super Bowl, but there's a lot of game left to play here. And we want to make sure that we are providing appropriate assumptions and then our capability to deliver against those assumptions.  I'll make one other minor point that 10% sell-through is not inclusive of price and not inclusive of our acquisitions, which are modest. As Pete said in his prepared remarks, it's primarily a Q1 thing on the acquisitions when that becomes very modest. And then as we move into the back half of the year pricing, year-over-year is no longer an additive element. So hopefully, that gives you a perspective. I'll reiterate, it's a planning assumption and our intent is to execute against that planning assumption and make sure that we're in a good position to deliver with confidence.
Michael Rehaut: No, that's very helpful, Jesse. I understand and see what you're saying there. So thank you for that. I guess, secondly, just trying to think about the -- some of the benefits that you've highlighted that will hit much more so in the back half of '23. And I think just hit on an earlier question around the raw material benefit where I think initially, you talked about $30 million of deflation hitting the back half and out of a $50 million annualized number.  So that would point to maybe $20 million of additional incremental benefit to be realized in 2024. Now it sounds like there's a little bit of upside perhaps to both of those numbers. Correct me if I'm wrong, Pete, but also how to think about the sourcing benefit as well. You highlighted in the slide that it's a $30 million benefit in the back half of '23. Would that also be a similar type of would you just kind of double that to get to an annualized and you could see a similar incremental dollar amount realized in 2024? Just trying to think about those 2 things.
Peter Clifford: Yes. I mean the timing is going to shift. But I mean, again, I'm not going to monetize and give guidance on '24. But I would say, look, we've got off to good start. There's modest upside that's not irrelevant already carrying into 2024. There's probably a little bit into 2023. Some of that might be us being conservative in terms of breakage in other places. We haven't seen any in the 1Q results, but I think it's still early.
Jesse Singh: The one point I just want to clarify, and Mike, just to make sure we're clean on the question, we use sourcing and deflation as -- they're the same thing. We happen -- depending on what you're reading in the text, you should consider those 2 as the exact same thing. So they're not additive. It's just a different way to describe because we're getting some of the deflation because of some aggressive sourcing action. And so those 2 are the same and they're not additive. So you may not have meant that, but I thought I'd at least clarify that.
Michael Rehaut: That's helpful. One last quick one. Amortization expense for the year, can you give us any guidance on that, that would be helpful.
Peter Clifford: I'd say it's kind of flat to modestly up $2 million to $3 million from last year.
Operator: Our next question comes from Susan Maklari with Goldman Sachs.
Susan Maklari: Thank you. Good afternoon, everyone. My first question is, you mentioned in your comments that sample orders have been up meaningfully. Are you saying that there's been any change in terms of demand or the end market interest as we've seen lumber prices move off of their low and perhaps continue to move higher through the spring?
Jesse Singh: I would say -- I don't know that I can correlate sample activity to lumber prices specifically. I think there, at times have been a little bit of a lull in some of our digital activity. But what we've seen in general, as we pointed out, we've seen growth, we saw growth last year. We continue to see growth on the sample side. it's really an outcome in our case of really 2 things. One, general interest in the category and then specific marketing capability and efforts on our part that have, at times, disproportionately benefited us versus the industry. And so you should think of it as an indication of consumer engagement between ourselves and the large potential mass of -- the large mass and potential customers.
Susan Maklari: Okay. All right. That's helpful. And then following up, can you talk a little bit about the Exteriors business and the strength that you've seen there in the winter and how you're thinking about the outlook for that as we get into the spring and the summer?
Jesse Singh: Yes. We don't break out outlook specifically for any of our businesses. But having said that, a couple of key characteristics on Exteriors. As I answered in the previous question -- one of the previous questions, the Exteriors business has been nicely matched between supply and demand. So it hasn't had that same kind of volatility. It's been make and sell within the quarter, and there's much less inventory and has been much less inventory in the system. We have, with our initiatives, pretty consistently been able to expand our position in the marketplace.  And given our position with 2 terrific businesses in that sector, we have -- we've continued to secure not only additional shelf space, but launch new products that allow us to incrementally access more of the market. And the other element there, as we talked about, that business has and is exposed a bit more to new construction. And in those areas where we have exposure to new construction. We have seen those volumes come in, but they've been offset with really good performance in the rest of the cohort, driven by some of the elements we've talked about. But I'll come back to once again in its entirety, we're assuming relatively -- we're assuming that down 10% across all of residential, even though, as we've highlighted, we haven't yet seen it.
Operator: Our next question comes from Ketan Mamtora with BMO Capital Markets.
Ketan Mamtora: Jesse, first question, can you talk a little bit about how the StruXure acquisition is going, especially as you get the products out and the reception with the -- on the retail side and even sort of on the distributor side if at all, that is part of the plan?
Jesse Singh: Yes. Really, I appreciate the question. And for those of you that were at IBS, you would have seen that we combine both the TimberTech and StruXure presence just because they're quite natural there. So if you take a look at StruXure's core business, it has -- we've made meaningful progress since we've owned that business. As we talked about when we bought it in debottlenecking, manufacturing, upgrading manufacturing and putting that business in a very high service level. So we've unlocked a lot of capacity there. And so within that core business, it has a steady and growing core, and it continues to penetrate both the commercial market with increased resources.  So think of hotels, campuses, corporate campuses and other opportunities there, restaurants as people convert their outdoor living spaces from temporary spaces to more permanent spaces. So that business continues to do quite well, in particular, on the commercial side. And what we've done in the last couple of months is launched a kind of a prefab standard pergola system that we are selling both through the StruXure channels, but also through the TimberTech channels. And we continue to gain traction with those products being placed.  It's still early with those products, both expanding within StruXure's core, but also selectively being placed into our dealer base that is selling outdoor living products. And so we've had really good reception with both our contractors and our dealer base, and we would expect that expansion of that product coming into our core channels to continue.
Operator: Our next question comes from Mike Dahl with RBC Capital Markets.
Michael Dahl: A couple of quick ones here. In terms of the second quarter price carryover high single digits, I guess when we looked at it, we were thinking that you're lapping 1 price increase from last year that still is benefiting the fiscal first quarter. And so if price has been relatively stable, I guess, can you help us understand the carryover effect still being high single digits versus dropping down? And just -- I know you've got the guide for the year implies that it falls off through the year, but maybe just give us a little more color on that cadence.
Peter Clifford: Yes. We were actually lapping 2 price increases. So one was kind of low single digits and then back in May, we basically had a, I'll call it, mid-single digits price increase.
Michael Dahl: Okay. Got it. And so basically, that may one, you're saying the...
Jesse Singh: That's what you officially kind of overlap, yes.
Michael Dahl: Okay, I got it. And then...
Peter Clifford: So there'll be a very strong third quarter and then the fourth quarter.
Michael Dahl: Right. Okay. So some timing difference there in terms of kind of effective and impacting P&L and things like that. I guess I want to get your updated take on your portfolio. I mean you've done a lot on the residential side. Your competitor obviously just divested the commercial business. Your commercial business has been a decent rebound? How are you thinking about positioning for that business and the overall portfolio mix as it stands today?
Jesse Singh: Yes. As you pointed out, I think our commercial business has done just a terrific job of navigating through the last 2 years of uncertainty. As you might recall, that business was meaningfully impacted early on in the pandemic and made some structural changes and has done a really nice job of getting its profitability up and also well positioned.  For us, it's a core part of our business and has really been the founding of the company. And we'll continue to make sure that we manage the portfolio as a company appropriately, and that's where it makes sense and make sure we do the right thing not only for the business to continue to expand it, but also for the long-term health of our overall business.
Operator: Our next question comes from John Lovallo.
John Lovallo: The first one is, can you just help us with the magnitude of the Vycom channel destock in the first quarter, maybe what you're thinking about for the second quarter? And how we should sort of think about margins from this segment going forward?
Peter Clifford: Yes. I think the way to think about the balance of the year is, look, as we've kind of articulated a bit, look, we would hope to have a little bit of 2023, probably deflation upside and a little bit of strength in residential that any choppiness that we might see in the back half of the year on any channel destocking on the commercial side that we could handle and sustain that.
John Lovallo: Okay. And then I know it's not -- certainly not your base case, but what would have to happen in your opinion, for you not to be able to hold price in your key markets?
Jesse Singh: So John, as we talked in the past, we price to value, and we feel really good about the value proposition we have in the marketplace, whether it's our Deck, Rail & Accessories business or our Exteriors business. And we feel good about our ability to continue to manage our value in the marketplace and continue to be able to optimize our margins based on all the great work we've done on the sourcing and cost reduction side. So nothing specific other than to say, in general, the way we operate is we sustain price and we make sure we focus on driving the value for that price.
Peter Clifford: And I'd just add, obviously, it's one quarter only, but based upon performance metrics of 1Q, we didn't really see anything at all that would cause us to think about our planning assumptions for the rest of the year on pricing differently.
Operator: Our next question comes from Trey Grooms with Stephens Inc.
Trey Grooms: So obviously, it's early, but you mentioned earlier that the sell-through demand trends for residential have been modestly better than the planning assumptions. Is that pretty widespread across products? Or if not, maybe what product lines are you seeing the better sell-through?
Jesse Singh: Yes, Trey, I'll answer it at a very high level. It's pretty widespread. We've -- as we look at our data, whether it's the Pro channel or Retail or we look at our Exteriors business or Deck, Rail & Accessories business, in aggregate, the business has performed incrementally better as we've highlighted on the call.
Trey Grooms: Yes, so pretty widespread. Okay. So I guess just following up on another question from earlier. With the sample requests that you were talking about and just mostly driven by continued interest in the space. Can you talk about maybe what the sample requests that you're seeing and what you're sending out if they're suggesting any change in appetite as far as like high end versus the more entry level or any expected trade down from the consumer to a more entry-level product based on what you're seeing there?
Jesse Singh: Yes. As we look at our sample data and I don't exactly have the mix in front of us, I'm operating a bit off of memory. But typically, for the samples that we send out, they tend to skew higher end. So they tend to be our Advanced PVC products that have terrific aesthetics. And so in general, historically and even more recently, the segment, a lot of the segment that we're servicing with the samples tends to skew a bit more premium and I think your underlying question might be, are there any leading indicators to really highlight any changes in mix, and I think as we've looked at it, in general, all of our categories have continued to perform well.  We, at times, have -- we've been modestly under-indexed in the good part of the category in certain parts of our decking business. And so we've been incrementally been able to perform well there. But in general, if you take a look at our core business, it's operating within the same kind of price bands. So there might be a little bit of movement between product A and product B, but if you're in a premium band, you stay within a premium band; if you're in a kind of an entry-level band, you stay within that entry-level band.
Operator: Our next question comes from Adam Baumgarten with Zelman.
Adam Baumgarten: I'm just curious on the trends maybe you're seeing in January just because it sounds like there's a nice uplift in overall kind of housing-related activity in the month. Just curious if that translates into better trends in your business.
Jesse Singh: Yes. We don't disclose any specifics month-to-month. What I would say is what we're seeing now is pretty consistent with what we've seen really over the last 3 months in aggregate. So there's not anything meaningfully different we're seeing in the data. As we highlighted, we felt incrementally better about Q1 and there's nothing really that we're seeing that's changing in the data right now.
Operator: I now turn the call over to Mr. Jesse Singh.
Jesse Singh: Really appreciate, once again, all of you taking the time to join us this evening. We look forward to chatting with you further as necessary and look forward to meeting you again on the next call. Thanks, and have a great evening.